Operator: Ladies and gentlemen, good morning or good afternoon. Welcome to the Conference Call discussing Evolva’s 2014 Full Year Results. I am Maria, the Chorus Call operator. The conference must not be recorded for publication or broadcast. At this time, it’s my pleasure to handover to Mr. Neil Goldsmith, CEO. Please go ahead, sir.
Neil Goldsmith: Thank you very much, Maria. Good morning, everyone. Thank you for your time. Today, you have myself; Jakob, our CFO and Paul Verbraeken from Investor Relations. I’m going to assume as normal that everyone has the slide deck that we put on the website alongside the Annual Report et cetera at 7 o’clock this morning and then with no further ado start to walk you through that. I will do the first section and Jakob will do the financials. So, if we go to the first three or four slides, just to remind you on the underlying rationale of Evolva which is now on slide three. There are hundreds of ingredients in nature that have problems in one way or another with their supply chain, they are too expensive and unstable supply, the quality is not good enough et cetera. And if we move to the next slide, if we move their genes into yeast, then we can allow bakers’ yeast to make the same ingredients that the original plant or animal makes. And this means that you can make them by simply burning them in a very analogous way to producing beer. And if we go onto then slide -- next slide, this means we can make ingredients such as musk that are essentially impossible to obtain from nature; we can make things like saffron far cheaper and far more stable in the quality of the product. We can improve the taste of products like stevia and we are very interested in understanding functionality of ingredients and using those to improve people’s health and wellness through their daily lives. So, no change in our overall rationale, so let me now turn to what happened in 2014 and some view on what we expect to happen in 2015. So, if we go to the next slide, the four most advanced product families. So with resveratrol and of course the big thing that happened during the course of last year is that we brought it to market; so, we scaled it to launch using a contract manufacturer and we launched it at Supply Side West in October. Sales are still very embryonic, but the market reaction and the sales have met our expectations. And we’ve also been supporting the product by working with those academic groups to get data, showing the benefits of the product and those studies was published during the course of 2014 showing that our resveratrol improves bone density and other measurements of bone health in middle aged men. Second product was also launched, vanillin. In this case it was launched by IFF incorporating in the existing flavor and fragrance blends. So again, we successfully scaled the production again using a contract manufacturer, a different one from resveratrol and we expect to see IFF further developing the sales during the quarter next year. Nootkatone and valencene of which we see Nootkatone as the more important product coming to us from the acquisition of Allylix in December. They have applications in flavors and fragrances and also in insect control and we see the primary market over time as being in insect control. Allylix has been working with a center of a disease control in United States, who are very interested in ways to combat the spread of Lyme disease in North America and Nootkatone has been shown to be very effective at those repelling and killing that takes the transmit Lyme disease. We expected that will be on market this year. We’re excited about the product and I am pleased to have it in our family of products. And then the last of these four stevia, undoubtedly our most important near-term commercial product has progressed well towards being on market in 2016. During 2014, we have received a milestone payment from Cargill. We saw the first patent start to grant and we expect to see much more of that in the years to come. And we obviously acquired Allylix at the end of the year in large part for the work they had done on the early part of the pathway and intellectual property that we believe will allow us to even further improve the manufacturing efficiency of Stevia in the years to come. So, those were the first four products. We have if we go to the next slide, slide seven; we have a deepening pipeline of other product families which we’ve put into this table in approximate order of when we think they will come to market. Apart from saffron, we are not giving any expectations for launch date but you can imagine a tail out from behind saffron into the future. So, I will just go through these briefly. So, saffron is in strain optimization; it’s been performing very well in this moment as we expect it to be on market also in 2015 but most likely after stevia. Sandalwood which comes from the Allylix acquisition is in strain optimization. Ruby -- so, we’re now on a number of our partnered products. We have given them code names because we would like to start to make the point more clearly that there are products, in many cases within these product families which we have retained rights to. So, the Ruby family of ingredients, we’ve partnered some molecules with Roquette. That program with Roquette has gone very well. We expect it to be completed, our part of it to be completed by the middle of this year. We obviously hope that it will be on market in a reasonable time period but there are other members of Ruby family that we retain all rights to that we will also now start to look how we can commercialize those in the years to come. Agate we have is for personal care uses and we have members of that family partnered with Ajinomoto. It’s one of the more challenging projects we have but we’ve provided Ajinomoto with a way to bring the product to market during the course of last year. Opal, we have certain members of the Opal family partnered with L’Oréal in the cosmetic space, other members of the family and use of the products outside cosmetics; we retained the rights to the program started in early 2014; it’s gone very well. We achieved the milestone at the start of this year. And so that’s progressing as expected. Agarwood, we are partnered with the Universiti Malaysia Pahang and working also with the Malaysian government to develop a route to a sustainable production. It’s very valuable fragrance which currently can only be obtained from cutting down trees that have been infected with a particular fungus. It started in 2014; it’s relatively early in the pathway construction but it’s gone fine to-date. And then we have three new partnerships, so relatively new partnerships. So we entered the second agreement with Cargill on a family of food ingredients that we have codenamed Coral and we have an exclusive partnership with Cargill there, very analogues to our relationship with them on stevia although it is considerably earlier in its development cycle. We’ve announced the partnership with Takasago on a number of F&F ingredients which we’ve codenamed Tourmaline where that work has started earlier this year. And last week, we announced the deal with Valent which is a subsidiary of Sumitomo of Japan on a family of agricultural bio-actives where we have exclusively partnered with them and that work is only just starting right now. And then finally, we have this collaboration with BASF on a family of molecules with utility in crop protection. They also have utility in pharmaceuticals. We have partnered with BASF for the crop protection uses. We have rights to other members of the family and for pharmaceutical uses. That is in scale up, so in some ways it’s more technically advanced than some of the projects above it. The reason we think it’s the last to reach to market is it will of course face quite a long regulatory path to get to market which is a responsibility of BASF. So, as I hope you can see that gives us a full plate of ingredients. In addition, we obviously have our legacy products 35, 77 and Pomecin, these have all now been out-licensed or sold. In the case of 35, we have success positions on these products and we believe there is a reasonable potential that we will see revenues in the years to come coming from milestone payments and hopefully one day royalties from these products. So that’s really a summary of the product portfolio and where it is as of now. If I go on to slide nine and talk about what we see for 2015, so for resveratrol, we expect to see a growing revenue line, so making a meaningful impact to our total revenues for the first time. This comes from additional country and indication registrations as well as of course simply driving the sales in the markets where we’re currently on market, signing additional distributors for additional geographies as well as particular market segments, continuing to improve the manufacturing efficiency of the product, so that the margins improve over time and we can penetrate wider uses of the ingredient as it becomes available at different price points and widening the work we’re doing with various clinical and academic groups to demonstrate the utility of resveratrol in a wide range of human and animal health indications. On vanillin, we expect to see further commercialization by IFF and alongside that, further improvements in the manufacturing efficiency of the product. And we will be exploring on our own, the application areas that we have retained rights to. On nootkatone, we expect to launch it in flavors and fragrances and to see the first revenues from that during the course of this year. We again expect to see the manufacturing efficiency to improve. We’ve -- maybe I could say, we’ve started the production for launch of product that’s ongoing. And we of course are continuing to pursue the regulatory work and application work to get it on market in pest control with an initial focus on the United States. Then if we go on to stevia, so during the course of 2015 there will be further work on the strain, further work on the downstream process, work on the production scale out, and work on getting the product approved. For example asking the FDA for no objection letter on the product, work on all of those areas is currently ongoing. So, it’s really just continuing existing activities. We will continue to supply the product to potential customers. We have been doing that in the course of 2014 or I should say Cargill has been doing that in the course of 2014 and they and we have received very positive feedback from those potential customers. Of course we have the big event that we need to decide are we taking up our 45% participation on stevia; we expect to do that in Q2. And as previously guided, we currently would imagine we’re going to choose to exercise that option, but it’s not currently on the critical path to get the product launched. So, we can wait at least until we enter Q2 to do that. We expect that we will receive additional milestone payments during the course of 2015 from Cargill. And the product is on track to be launched next year. On partnerships, we see strongly increasing level of interest from various companies in partnering with us, that’s quite encouraging. We still think we will aim to do two to three partnerships a year at least for the time being. We’ve obviously entered three partnerships, the Takasago and the Valent relationships and the second project was Cargill in the last two or three months. So that’s going to mean that we have bit of a pause in the partnering at least for little while. We want to make sure that we get these projects off to a good start and that we resource them properly. So that’s going to be where our attention goes on the partnering side for the next couple of months at least. And more generally in partnerships that we do have in discussions, we will continue to move forward in terms of the value share that we look to get from these partnerships as our capabilities increase and we increasingly have validated that we can bring products to market and successfully implement on the technology. So, if we go to the next slide, slide 11, I thought it was worth maybe just sort of try to graphically lay out how we see the product portfolio building over time to show the different application areas. This is a little simplistic. So resveratrol has uses in as a food ingredient, in cosmetics et cetera, vanillin in flavor and fragrance and so on and so forth. But I hope you can see that it means we expect to have two product launches for the next couple of years or this year and next year and that we have a deep product pipeline coming behind. There is no doubt stevia is the most important of these products near-term, but since our overall ambition is to build a company in the mode of ACODA [ph] or Novozymes, then we see having a deep portfolio of products all made by the same manufacturing process as the way to go over time and we think that’s well in hand and of course for most of them we have financial support from established companies. There are -- maybe this slide slightly gives impression that most of our portfolio is partnered, that is actually not the case because we have a number of undisclosed, unpartnered environment products also in development but they are not on this chart. So all of this means -- we go to next slide, so that we have been growing. We now have a headcount of around 145. Most of that growth has come from the acquisition of Allylix, which added 32 people at year-end. We’ve been strengthening in addition in two particular areas in production. So now we have seven people in our production team managing the various contractors that we have. We have been working with contractors in North America but we’re now also working with contractors in Europe. And we see establishing our internal group to manage these contractors to manage the overall process of bringing products to market and ultimately preparing the way for moving in an incremental fashion into our own production as something very important. In recognition of the fact that we now have a maturing pipeline and we now have a number of products sort of moving from development into the market, we have appointed Simon Waddington as Chief Operating Officer for products. He’s been responsible for our U.S. operation he remains responsible for our U.S. operation but now he will also have responsibility for ensuring the streamline development of all of our products through to the point where they’re sitting on the warehouse shelf ready to be sold. And the other area we’ve been strengthening is on the sales and marketing side and on commercial side, so that we are increasingly able to sell those products, once they’re on the shelf. So, our commercial team is now up to 14 FTEs spread fairly evenly between sales and marketing and business development and then as it come on to we’ve been starting to do more work on the publish affairs side. And we’ve appointed Luc Gruner as Chief Sales and Marketing Officer and this reflects the fact that we are increasing the emphasis on having our own product sales. So I think we’ve made major steps forward in terms of the team and getting the capabilities to move into the next stage of our evolution. So 2014 was primarily focused on products, so I think 2015 will also be primarily focused on products but we also have other things going on. So if we go to slide 13, we are underneath everything a technology platform company and investing in building and maintaining a proprietary edge on our technology is fundamental long term. And we’ve made a number of improvements there in terms of adding to enzyme platforms, adopting technologies such as CRISPR which is a new genetic editing technology, a new transporter platform which is improving the manufacturing efficiency and improving our ability to engineer cells sort of at a stop cellular level, sort of where we can control where particular enzymes et cetera placed within the cell and that can improve again the efficiency of production. We’ve seen significant growth in our patent portfolio. As mentioned, we’ve had our first stevia patents grant. Of course a lot of that comes from the addition of the Allylix portfolio but we’ve seen also incremental growth in internal programs and patent families. So, we now have somewhere over 425 individual patents applications of which slightly over half are now granted. As mentioned, I think in last year, we were and have established now a downstream process and scale our capability in our Copenhagen lab. If you, I am actually in the Copenhagen facility on this call. And if there is some banging the low, it’s the last that’s being done to that lab. We acquired Prosarix the long time partner of ours which has got very strong in silico capabilities in particular for looking at biosynthetic pathways to ingredients and understanding the functionality of our ingredients. We continue the policy we have of supporting biodiversity and science education support in line with our commitments under the convention on biological diversity. We set some money aside; we’ve supported a Australian Danish project to try and find out the ways to get the quality eat better. I can go into that as needed but it actually relates to many of the ingredients we’re working on; in this case Coral not people. And we work with the Universiti Malaysia Pahang on Agarwood and looking to help Malaysia build in a small way a capability in this space. And finally, we’ve stepped up significantly our public communications. So, we’ve been engaged in a lot of media work, most recently an article on Bloomberg Business on us, we’ve created our Eve video cartoon which you’ll see if you haven’t seen it, then at least you will see the graphics in annual report to basically explain to the average individual what our technology is about. We started engaging on Twitter and various investor followers, so we’ve significantly increased our presence there. So I think that that summarizes 2014. It’s been a very active year, very significant for us in terms of getting up those products to market. We think 2015 is going to be equally significant. But at this point, I will now hand over to Jakob to talk you through the financials. Thank you.
Jakob Hansen: Thank you, Neil and good morning everybody. As you can hear my voice is a bit rusty, I apologize for that. I hope you can still understand what I am saying. So, as an introduction first of all, I would like to note that our financials for 2014 are in line with the guidance we gave in November last year and also the preliminary data that came out on the 9th of February. So, our revenues increased to more than CHF 10 million, up by 23%, still most of it, almost all came from research fees and milestone payments from our partnerships. We got USD 1.5 million from Emergent from the sale of the EV-35 and we also as always had some income from the public projects that we have with the EU and now also actually with the U.S government for EV-35. We put down that products revenues were insignificant. Of course we are very encouraged by having product sales for the first time but they were not material in 2014. Then if we move to the costs, our research and development costs of course increased because our activities increased; our headcount in the science area increased and in particular, we spent more on stevia and resveratrol and also on EV-35 under the data [ph] program. We are now spending money on process development and we also had additional cost by the acquisition of Prosarix and our IP portfolio as Neil mentioned is growing and advancing. And that also gave us additional costs. Maybe point to make is that Allylix costs are not impacting our 2014 financials. Of course, the acquisition has an impact on the balance sheet as of 31st of December and as I will come back to on the cash flow for the last part of 2014. So in line with starting products as we also have now for the first time really production costs for one of our products, namely resveratrol and the number you will find in our income statement also include the staff costs for the production team. Our SG&A costs have gone up also quite significantly. That reflects the additional increase in activities in business development in sales and marketing including the expansion of the management team in that area. We have additional cost by the acquisition of Allylix, so there is fees to lawyers et cetera. And then as you may recall, we had one-time reduction in the board and management compensation 2013. So, that then makes the numbers for 2014 little bit higher than they would normally be. So, then moving on to cash flow and I apologize still for the very rusty voice. We started with CHF 29 million; we had total inflow from financing of CHF 53 million; most of that came from the private placement we did in February last year. But as I think you all know, we also sold treasure shares in December that we received from the Allylix shareholders because there were still liabilities to be settled in Allylix. So that brought in another CHF 7.5 million on top of the financing. And of course we also got CHF 4 million from Cargill in connection with the acquisition of Allylix. We had CapEx of -- actually the gross number is CHF 2 million, we only show CHF 1 million here because we can’t show the CapEx that is financed by leasing under this item, but the fact is that the total CapEx was CHF 2 million. And the operating cash flow was CFH 20 million of which CHF 2.5 million were settlement of Allylix liabilities. So, the overall operating cash flow was actually only CHF 17.5 million, well below our target of CHF 20 million. So all in all, we ended with CHF 61 million in cash and time deposits. The next slide I think more or less speaks to itself, good trading volume throughout 2014; nice share price development, at least in the second half of the year. And our shareholder base is now really categorized by significant free float, 75% of the total share capital is held by people that have less than 3% and we have relatively small holdings that are below -- above 3%. And I should say that these are end of 2014 numbers. So, some of the funds have actually reduced their holding in the beginning of 2015. So finally, on the outlook, the financial outlook for 2014, we believe that revenues will grow by more than 30% in the year from the CHF 10.7 million last year. This will come of course still from some of the existing partnerships, both in terms of research fees and milestone payment. We will have new partnerships that will impact the revenues like the second project with Cargill, the Takasago and the Valent projects and maybe also additional new programs. We still expect to get USD 4 million from the next phase of the EV-35 sale. We are in discussions with the U.S. government to make the final transfer of the contract which will trigger the USD 4 million. And then we expect to have, as Neil mentioned, product sales in a meaningful way this year from resveratrol and nootkatone. Our cash flow will increase significantly because our key projects will move forward into state of manufacturing and also commercialization. We assume that we will exercise the 45% option but of course that is still subject to final decision, but that will also increase cash outflow if it happens. And then the acquisition of Allylix will now impact our costs as expected with about USD 4 million to USD 5 million additional costs. And as you may recall, we diversified, Cargill supported that transaction with 4 million investments which more or less offsets the additional cost. So, if we look at on our price, significant activity level and the growing pipeline, growing patent portfolio and related activities, we obviously think that this all would benefit from an additional financial basis. And just to keep it very brief, we are as we would also be, considering the options for doing so, expanding the financial basis. So with that, I will conclude my part but of course be ready to take questions.
Operator: First question is from Mr. Julian Lakin from Mirabaud. Please go ahead.
Julian Lakin: I got two questions, one is for Jakob on the revenue guidance for 2015; you made the point about the payment for EV-035. Is that number included in your at least 30% or is that in a different.
Jakob Hansen: That is included.
Julian Lakin: The next question really is for Neil, it’s really in relation to the Allylix acquisition. And there were number of R&D relationships there, obviously predated the acquisition and which you were sort of evaluating when you announced the acquisition. I wonder whether you could sort of update us on that kind of progress.
Neil Goldsmith: You mean existing third party relationships with Allylix?
Julian Lakin: Yes, exactly that between Allylix and other customers which will now obviously come into your relationship as you acquired Allylix. I wonder whether it was up and running and some are being discarded or whatever.
Neil Goldsmith: So, nothing has been discarded. Allylix didn’t have a huge number of existing relationships; those that did have we’ve maintained and they are running as internally over projects. But they don’t add any major partner to our portfolio in the way of Cargill over Ajinomoto.
Julian Lakin: And obviously nootkatone was one of that key products apart from the stevia expertise. Where is that going to be manufactured; is that going to be a third-party manufacturer like the other products?
Neil Goldsmith: Yes, it will be a third-party manufacturer. So, we’ve placed the contract with a third-party already to make that product. I can think I can say that. That partner is in North America.
Julian Lakin: And while we’re still on nootkatone, do you have any feel that how long it will take to get the regulatory approval for use of the product in pest control.
Neil Goldsmith: I would say at the shortest, two years and hopefully at the longest, maybe four years.
Julian Lakin: I think I’m almost done, just one quick last one for Jakob. Can you give us any sort of stuff of capital investment for 2015; I imagine all sorts of variables but I need some board indication.
Jakob Hansen: I think when it comes to the normal CapEx, it mean in the lab [ph] area, it’s not going to be significantly different from 2014, maybe even a bit lower because we obviously have been investing in the downstream process facility in Copenhagen which is now more or less complete. So I think I wouldn’t expect it to go above 2 million. Then of course the question is how will the exercise of the stevia option impact the CapEx. Without going into too much accounting discussions, I think that most likely won’t be booked as CapEx but of course that is still a discussion we are having with auditors. So obviously if that was booked as a CapEx, then it would have a significant impact.
Julian Lakin: So that sounds like you’re planning some kind of joint venture facility or just CapEx still contributing just towards maybe Cargill visiting facility?
Jakob Hansen: I think again without going into detail about the specific plans, I think the actual CapEx of the facility and the equipment will most likely be owned by Cargill. So for us, it’s more a question of participating in the financing rather than actually owning it which is why I would expect it not to be a CapEx item.
Julian Lakin: That’s great, Jakob. Thank you very much indeed.
Operator: Next question comes from Roderick Hope [ph]. Please go ahead.
Unidentified Analyst: Couple of questions regarding the financial means. You would need to exercising the option and participating it by enhancing the activities in the case of stevia, could you [indiscernible]? And what kind of financing needs would you need in the current year without the stevia option, how will R&D expense develop?
Neil Goldsmith: Jakob, can you tell that?
Jakob Hansen: I must admit that at our end, we didn’t really get the question. Sorry. So, I don’t know if you can repeat it or may be Neil you can have a first go.
Neil Goldsmith: I’m happy to take a first go. So, on the stevia option, we make a decision in Q2 as to whether to take up the 45% part of funding to production and marketing of the stevia product. We expect that the initial phase is likely to be by means of a retrofit of existing Cargill facilities. And whilst there is still quite a range of numbers because we’re trying to -- we have to decide how many -- for example, how many fermenters do we want to bring on line at launch; what sort of downstream process facility we put alongside those fermenters and what scale do we plan for that to reach before we move to a greenfield production. But the total cost for the retrofit is likely to be in the low double-digit millions of dollars. So, our share over the next one to two years is likely to be 45% of that. I can’t really go more specific than that because we are still in discussion with together with Cargill for exactly what should that facility be scaled for given that we expect that after a few years, we would anyway want to go to a greenfield manufacturing site given that market demand builds as we believe it will. So that I think I hope addresses the first question. In terms of what our cash flow would look like in the absence of taking the stevia option, well, you can certainly assume it would go up by the USD 4 million to USD 5 million linked to the ex to Allylix facilities. And it might go up a bit further than that given the investments we’re making in the for example the production launch of nootkatone and the regulatory work around nootkatone. But we don’t have a particular number there but it would still be somewhat up on the cash flow this year.
Operator: Next question comes from Mick Cooper from Edison. Please go ahead.
Mick Cooper: Could you again speak more detail about the resveratrol kind of talk about looking at launches in countries and distribution; can you give us any more color on that? And secondly you said that there are a number of products in development. Can you just give us a rough number of active products which are in scale out that you’ve got other than 130 you’ve displayed so far? And finally, I’m not sure what you can say but Reb M and Reb D kind of lots of promise about them, how much research have you done in market demand; what kind of demand do you expect for those products at the moment the whole stevia market is only based on Reb A?
Neil Goldsmith: Okay. So, taking those in order, resveratrol, we currently have the product approved in the USA and Europe; it’s working its way through the process in Japan. So, we would hope that comes relatively soon. We have filed a number of regulatory applications in a number of significant Asian markets and we have also been looking at Latin America. So I would expect some of those countries to come on line during the course of this year. And those get linked to signing also distributor arrangements for those particular geographies. We are also however signing additional distributor relationships, for example for cosmetics where we may have a distributor currently who is stronger in dietary supplement market but isn’t so set up to go out to cosmetics, a similar area in animal health. So it’s like building a portfolio of distributors over the course of the next year. We also have a number of key accounts that we are working on directly alongside that. So, I hope that gives you a feel at least for the process without becoming too specific on any one distributor. In terms of the number of products in development, I think there is about 15 that sort of are in this graph we provided. In total, I would say, the number probably is closer to 20 when we allow for the ones that are not discussed in any way that are in internal development. However, none of those are in scale out; they are further back in the pipeline. So then, it’s not that there is going to be a sudden surprise, new ingredient getting on to market that we haven’t told anyone about. So, those are relatively further back in the process. Although some of them because they are related to more advanced products potentially can come through relatively quickly, given the flux is already there in the strength. In terms of Reb D and Reb M, I think it is sort of not just in the Evolva observation but the general observation from the stevia industry that Reb D and Reb M taste significantly better than for example Reb A, nothing we have learned suggests anything other than that. And the level of interest we see in the products reflects that that people are interested in getting to a stevia that doesn’t have comprises on the taste but that tastes I would say exceptionally good in a range of different products. So, we are very confident of the market demand for the product at this point in time.
Mick Cooper: And just one follow-on question regarding the number of products in development; should we be thinking of 27 -- 17 onwards as you’re looking at four to five product launches per year?
Neil Goldsmith: I would hope it goes up from two let’s say.
Mick Cooper: Okay, thank you.
Operator: Gentlemen, there are no more questions at this time.
Neil Goldsmith: Okay. Thank you Maria and thank you everyone. I think we will draw this towards a close. And it’s been a pleasure talking to you all. I guess we can all wish Jakob to improve on his voice. But other than that, we will see you all again in the near future, no doubt. Thank you all. Bye for now.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call and thank you for participating in the conference. You may now disconnect your line. Goodbye.